Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Emerson Investor Conference Call. During today’s presentation by Emerson management, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) This conference is being recorded today, May 6, 2014. Emerson’s commentary and responses to your questions may contain forward-looking statements including the company’s outlook for the remainder of the year. Information on factors that could cause actual results to vary materially from those discussed today is available at Emerson’s most recent Annual Report on Form 10-K as filed with the SEC. I would now like to turn the conference over to our host, Patrick Fitzgerald, Director of Investor Relations at Emerson. Please go ahead sir.
Patrick Fitzgerald - Director, Investor Relations: Thank you, Vince. I am joined today by David Farr, Chairman and Chief Executive Officer of Emerson and Frank Dellaquila, Executive Vice President and Chief Financial Officer. Today’s call will summarize Emerson’s second quarter 2014 results. A conference call slide presentation will accompany my comments and is available on Emerson’s website at emerson.com. A replay of this conference call and slide presentation will be available on the website after the call for the next three months. I will start with the highlights of the quarter as shown on Page 2 of the conference call slide presentation. Net sales in the quarter decreased 2% to $5.8 billion, with underwriting sales up 2%. Sales were lower than expected primarily due to harsh winter weather and weak GDP growth in the U.S. as well as a slowdown of the global project execution in the process industry. At the same time, process customers proceeded with plans for future investments helping drive total Emerson orders of 9% in the quarter with strong acceleration in March. Gross profit margin expanded 140 basis points to 41.2%, while EBIT margin was unchanged from the prior year as currency volatility affected comparisons by $35 million and the Artesyn Technologies equity investment reported a loss of $34 million. EBIT margin improved 60 basis points excluding the equity loss. GAAP earning per share of $0.77 equaled the prior year. Cash generation was strong overcoming lost cash flow from Artesyn divestiture. Operationally, there is a strong execution in the quarter despite the economic weakness in non-operating items. Moving to Slide 3, P&L summary, as I stated, sales declined 2% and the Artesyn divestiture deducted 5% and acquisitions added 1%, just as underlying sales grew 2%. 140 basis points of gross profit margin improvement is driven by portfolio changes and cost containment. SG&A expense declined in large part due to lower stock compensation expense. Significant restructuring costs in the Artesyn investment contributed to an equity loss and other deductions of $34 million. Additionally, currency volatility swung from gains in the prior year, but losses in the second quarter for a change of $35 million. Reported EBIT margin was flat or up 16 basis points due to an equity loss. 3.3 million shares were repurchased for $214 million, such that earnings per share of $0.77 was unchanged from prior year. Next slide, sales by geography. By region, underlying sales grew in the U.S. by 3%, Europe by 1%, Asia by 4% which includes China growth of 9%, Latin America by 3% and Canada by 2%. Middle East and Africa declined 9% affected by robust growth in the prior year quarter. Total underlying sales increased 2%. Strong momentum continued in China where all business segments grew for the third consecutive quarter. Moving to Slide 5, business segment earnings and cash flow, a 2% decline in business segment EBIT includes $35 million unfavorable impact from currency volatility. Corporate expense reflects the Artesyn equity loss partially offset by lower stock compensation expense. Looking down to cash flow, flat reported results overcame lost operating cash from Artesyn divestiture. Higher capital expenditures reflected ongoing growth and productivity investments. Trade working capital improvement improved due to strong inventory and payables performance. Next slide Process Management, Process Management underlying sales grew 1% with North America up 6%, Asia down 1% which includes China up 5%, Europe up 4%, Latin America down 3% and Middle East and Africa down 14%. Acquisitions added 4% and currency translation deducted 1%, but net sales growth up 4%. Growth momentum continued in energy and chemical industries with more cautious project implementations by customers slowed sales growth. U.S. strength drove growth in North America with growth in Europe led by North Sea project activity. Asia declined as softness and difficult comparisons in India and Australia offset 5% growth in China. Middle East and Africa witnessed reflected ongoing political instability in the region. The decline in margin was primarily due to currency volatility that lowered earnings by $31 million. Orders increased 12% led by unconventional upstream oil and gas projects. The robust orders growth reinforced continued strength in process automation markets particularly in North America. Moving to Slide 7, Industrial Automation, Industrial Automation net and underlying sales grew 2% with North America up 1%, Asia up 6% including China up 18%, Europe flat, Latin America up 7% and Middle East and Africa up 1%. Demand improved for capital goods especially in emerging markets. Asia growth was led by China where mature markets were slower. Modest growth in the fluid automation, motors and drives, electrical distribution and hermetic motors businesses offset modest declines in the mechanical power transmission and power generating alternators businesses. Orders growth accelerated to a high single digit rate in the quarter led by double digit growth in power generating alternators. The order strength supports the expectation for improved growth in the second half with acceleration in the U.S. and Europe. Next slide, Network Power, Network Power underlying sales increased 1% with the U.S. up 2%, Asia up 4% including China up 6%, Europe down 3%, Latin America down 8% and Middle East and Africa flat. The Artesyn divestiture deducted 21% and currency translation deducted 1% where net sales declined 21%. Growth was solid in telecommunications markets led by U.S. and Europe with China and India also up. Demand for datacenter technologies remained slow overall as growth in Asia and North America was offset by weakness in Europe and Latin America. The margin expansion reflects the Artesyn divestiture benefit partially offset by strategic investment programs. High-single digit orders growth reflects improving global market conditions especially in Europe. Gradual recovery in datacenter markets is expected to continue with the outlook for modest growth unchanged. Next slide, Climate Technologies, Climate Technologies underlying sales increased 6% with North America up 2%, Asia up 11% including China up 14%, Europe up 3%, Latin America up 46% and Middle East and Africa down 4%. The global refrigeration business was strong particularly in transportation along with modest growth in air conditioning markets. U.S. sales were strongest in the temperature sensors business, up double digits with the residential air conditioning up mid single digits and commercial up low single digits. Strong demand in China drove Asia led by the refrigeration solutions and sensors businesses. Europe market conditions continued to improve. Order trends remain steady led by strong growth in Europe, global refrigeration markets are expected to remain strong along with improving market conditions in the U.S. Moving to Slide 10, Commercial & Residential Solutions, Commercial & Residential Solutions net and underlying sales increased 1% with North America down 1%, Asia up 18%, including China up 23%; Europe, up 10%; Latin America, down 7%; and Middle East and Africa, up 23%. The strong growth in international markets offset weakness in the U.S. related to the harsh winter weather. Growth was led by the professional tools, wet/dry vacuums and food waste disposers businesses. Profitability in the segment remains very strong. Orders growth acceleration in the quarter reflects recovery from the weather impact. U.S. residential and commercial construction markets are expected to improve supporting stronger growth in the second half. Next slide, 2014 outlook, robust orders growth in the quarter reflects continued improvement in the global macroeconomic environment. Large multi-year industrial projects and recovering demand for capital goods helped drive order strength. At the same time, uncertainty persisted in some markets as reflected in the anemic U.S. GDP growth in the first calendar quarter. Recovery appears underway based on March orders with preliminary trailing three-month orders growth in April are approximately 8%. Based on current market, the 2014 outlook is unchanged with underlying sales growth of 3% to 5%, reported sales change of minus 1% to 1% reflecting the embedded computing and power divestiture, completed acquisitions and currency translation, margin expansion of approximately 0.5%, excluding charges in the prior year and equity loss in the current year, and reported earnings per share of $3.60 to $3.80, up 4% to 7% excluding impairment and repatriation charges in the prior year. And with that, I will turn over to David Farr.
David Farr - Chairman and Chief Executive Officer: Thank you very much, Pat. Thank you everybody for joining us today. I appreciate it. First, I want to also thank (Technical Difficulty) this quarter with solid margin improvement, strong cash flow making up for the cash we lost from the sale of embedded and then also pressing forward on the strong internal growth initiatives, both in the service area, solutions areas and technology to try to drive longer term growth across our Emerson businesses. Yes, the quarter sales were much weaker than we anticipated in February as we met in Boston, snowy Boston based primarily on a much weaker U.S. residential marketplace for us. As I look at the various markets from what we saw in February to what actually finished at the end of the March quarter, Europe was stronger, China was stronger, India weaker, Middle East weaker, Latin America weaker, primarily because of Brazil and a little bit slowdown in Mexico with the election and the changes in the energy programs. In addition, we saw with the quarter of being much weaker, just from the general economics view around the world, we saw some of our large – our large process industrial customers really start slowing down with the execution of the projects that we have underway, not canceling, but just slowing them down and pushing them out. In fact, orders have continued to be strong, so that the confidence is there in our customer base, they are just slowing it down. As we look at the late March and April orders on a per day basis, because there are several days moving back and forth with the Easter and the Easter holiday and the various holidays this year. On average right now, we are growing underlying orders around this 8%, 9% high single-digit basis. So, we had April again looking at pretty good orders. Again, this is the third month as I look at orders trending upwards. And so I think that the key thing for us right now is orders have turned. We now clearly need to continue to execute and delivering at the high level backlog we have right now and drive down the backlog and deliver those sales in the second half of the year. Again, just stepping back and thinking about the markets that we have faced today versus February when we talked about them the one real negative is that U.S. residential marketplace is much, much weaker than we saw back in February. On the positive side, non-residential continues to solidify and we are actually seeing that look stronger in the second half of this year both here in the United States and other markets around the world. In Europe, I feel better about it, except for the unfortunate situation between the Russia-Ukraine situation and Eastern Europe and potential slowdown impact on Europe, but right now, Europe continues to look better than it did originally in trending the way you want to trend. And if you look at the world, it has been a very, very muted global economic recovery coming out 2008, 2009 recovery. Not much of the typical recovery from business or the consumer or the investment profile. As we talked about in February, we are going against this and we are pushing hard both internally. We make it internal investments in technologies. We are making investments right now in our capacity capabilities, our productivity capabilities our new product initiatives. We are pushing our money that we have generated record level of the cash flow into the company to drive higher levels of growth. We have also stepped up our acquisitions in the first couple of months of this year already spending $1.2 billion targeted $1.5 billion and we will continue to push pretty hard that how we can emphasize and increase our acquisitions for external growth going forward here in the next couple of years. Clearly our balance sheet, our operational performance, our cash flow is at the level that we can invest more aggressively to drive growth and push away through this what I call is globally muted recovery as this continues to happen around is from month-to-month. Overall cash flow very good, we are increasing our capital spending this year as you know we are up – we will be driving close to $800 million of capital, up from less than $700 million last year. Investing in our new products, our innovation, our global capacity utilization areas, investing in productivity and focusing on how we can make the company stronger and drive a more profitable business and try to drive little bit faster growth. So overall, the quarter clearly disappointing from the top line growth, I was pleased with the execution with the operations from profitability and cash flow. And the recovery rather will continue to move forward but at a very, very slow pace. I would not take much. Unfortunately did not back some of the economic recovery and particularly in Europe if we saw situation emerge relative to Russia, Ukraine and whole Eastern Europe. So concerns but at this point in time we are pushing forward our investments and we will continue to push forward our investments to drive better growth, better always the profitability and better returns for our shareholders. We are still targeting to deliver back to our shareholders this year at least 60% of our operating cash flow right now our trend probably is a little bit above 60% unless we see external investments that we see the opportunity coming back, we will keep at that level and so we see the money needed to grow the company faster. With that, we will open the phones for questions and answers.
Operator: Thank you, sir. (Operator Instructions) The first question is from the line of Scott Davis with Barclays. Please go ahead.
Scott Davis - Barclays: Hi, good afternoon guys.
David Farr: Good afternoon, Scott.
Scott Davis - Barclays: Dave you mentioned in your comments this have been a different type or recovery and that I think that’s – I think we would all agree with that, but based on the order book that you have it seems pretty strong and just the backlog and then you look at it things like process where there is some pretty big projects coming down the pipe, does it feel like to you that we are at the tipping point here where that investments spend is getting ready to really kicking to re-offer the cycle or do you still you feel like that’s vulnerable?
David Farr: My discussions with the customer based, the CEOs out there is that we are all starting to push forward and spending more money. I am not alone if you look at our spending pace right now we made the decision a little bit earlier than some of our customers to push forward. Scott, I feel is that that tipping point the one big negative give is also as you saw the situation really unfold in Europe where the European economies really starting to stall again. Then I think you would see the CEOs around the world will be a very cautious again and pull back. But right now I feel significantly more positive about that tipping points coming and that’s for – therefore we are going to push forward. We are seeing the desire that we would see the core pace but people still will be concerned about the world things happening. And today people can react so much faster than ever before I became CEO back in 2000.
Scott Davis - Barclays: So I guess the natural and these are all high class problems I suppose but good natural follow-up on that is just specifically in process, I mean if you look at the projects that have been announced in chemicals and oil and gas, refinery, etcetera. I mean there is a lot, lot of project in that 2015 to 2018 timeframe I mean how do you balance between having a natural level skepticism that a big chunk of them might get cancelled, to the other side of it where you really need to invest pretty heavily to make sure you are there because there could be some – I would imagine some capacity constraints when you get to that time period, if not in products but in just engineering talent and man power, I mean how do you think about that Dave?
David Farr: Right now based on the code activity which is – continues to be at record levels both in the process world and some of our industrial space too, we are pushing forward. We are going to make – we are making the investments because I see the order book, I see the projects we are winning. I saw the projects coming down the pipe down this – again this month. And I feel very confident that these projects will go forward. They may take rather than 18 months to be unfold they might take 24 months, I feel quite strongly they are going to happen because the capacity is needed. I know where this product is going, so I feel they will happen and we have to get out in front of that because we are winning clearly a strong fair share of those orders, well if you look at the order pace coming out of process and the improving industrial for us too. So we have to be ahead of it and that’s what we are doing we are investing.
Scott Davis – Barclays: Okay, good. Good luck Dave. I will pass it on.
David Farr: You’re welcome. Scott thanks.
Operator: Thank you. Our next question comes from the line of Deane Dray with Citi. Please go ahead.
Deane Dray - Citi: Thank you. Good morning everyone or good afternoon.
David Farr: Good afternoon Deane.
Deane Dray - Citi: Dave can we go back to you are reaffirming the guidance, but we are well into the second half and you are baking in some second half ramp and especially in process maybe just talk a bit more about within the segments what sort of upside you are expecting how that ramps, is it a question of easier comps or are there some opportunities that are in baked in the second half assumptions?
David Farr: On the early cycle businesses the Climate Technology business and the Residential Solutions business some of our early cycle industrial businesses, we are seeing the activity to start picking back up again. So we are expecting them to get a little bit stronger in the second half of the year. Right now, Climate Technologies is still looking at a very good year on a global basis. They have had a good first half. I think we will have – I think they personally will have a better second half. On the industrial space, the process guys, the Industrial Automation guys, the Network Power guys have the orders. It’s a matter of getting execution around those orders and getting some what I would call incremental book to ship type businesses. Our backlog right now has the capability to deliver in the second half of the year. We need to execute around that backlog and we need some of the early cycle guys, which we are starting to see as we have seen in the last I would say the last 45 days of orders we need to see if those orders go into – being booked and shipped. And I think that’s where we are coming from right now. Profitability wise, we have the capability right now our cost structure is in good shape, the price costs is in good shape, it’s just the matter of getting that sales booked, which we are and taking the backlog down and then getting out the door. And then I firmly believe going back to the question from the previous person asking based on what I see right now if things are stepping up we are going to see going into 2015 with a strong pace of business for us.
Deane Dray - Citi: Great, that’s very helpful. And just to go back on one of the comment you have made on process particularly and maybe just reconcile because it seems a bit contradictory. One, you said some of the customers are pushing out projects, but project implementation is slowing them down. Meanwhile you have seen a pickup in what you call robust order growth are these separate parts, separate end markets within process or it would seem that you wouldn’t see the same customers making both actions?
David Farr: Well, you have – yes, you do it because some of these projects are getting much larger and then more complex and they are not – I mean obviously we have more than two customers in process. So from our perspective we are seeing customers around the world some will slow it down and try – spread their capital around a little longer to make sure that they don’t get ahead of what they from a capacity standpoint. And secondly you will start seeing also from the standpoint of customers have long-term projects they want to get them going. They want to get the engineering work done and get in the queue. So you are seeing both. The activity level and the global process world by industry is sitting at record levels and we have not seen that curtail that much, it maybe a slower growth rate this year but it’s still a pretty good, it’s still running at pretty high levels. So there is – yes they got one foot on the gas pedal, one foot tapping the brake and they are doing both right now and which is un-incumbent for us.
Deane Dray - Citi: Great, that’s helpful. Thank you.
David Farr: You’re welcome. Take care.
Operator: Thank you. Our next question comes from the line of Julian Mitchell with Credit Suisse. Please go ahead.
Julian Mitchell - Credit Suisse: Hi, thanks 
David Farr: Hi, Julian.
Julian Mitchell - Credit Suisse: I just wanted to follow up on the sort of 8% to 9% run rate you talked about on orders, I mean, I guess is that a run-rate that you expect to continue for some time or is that 8%, 9% really just reflecting the one-off big boost you had in the March sort of standalone month or do you think you can see 8% to 9% as a daily orders increase for some time?
David Farr: I would – the word some time is a long time. I would say that Julian as I look to the last six weeks is growing this 8%, 9%, I think you could see a couple months of that at this point, my visibility from that standpoint. If you saw a solidification of the residential marketplace and start seeing that pick backup, which some people are saying it’s going to improve as the year progresses on a calendar year basis and you continue to see the European recovery continuing not have a hit from what’s going on in Russia or Eastern Europe. But I think you could see this go on for several more months after that. But right now, I think I am a little bit nervous in saying is that residential going to come back after how much of weekend and also what is the side effect of what’s going on in Russia, Ukraine, and Eastern Europe. So, I think that I am looking right now I see at least two months of pretty good underlying daily run rate of orders. And if I see things continuing to improve in residential and Europe, then that could go out for couple more months.
Julian Mitchell - Credit Suisse: Got it, thanks. And then in the Network Power, the margin was about 8%. I think you are looking at over 10% for the year, so you got a decent jump up in the back half. Is there any – is that sort of just a leverage game of year-on-year growth or is it just a release of a lot of kind of cost savings coming through at the same time?
David Farr: It’s a function of our growth. We have – if you look at our Network Power business historically, we have a stronger second half and then also some of the cost savings are starting to come through, but we typically – we have built quite a good backlog the last couple of months here. And it’s a matter of just executing the sales level there, that’s our normal second half, Network Power is usually a better margin if you look back over time.
Julian Mitchell - Credit Suisse: Thanks. And then lastly very quickly, Middle East, Africa had a very big swing from kind of December quarter organic growth to what happened in March. Just wondered what you are thinking for kind of June or the next six months in that region for organic sales?
David Farr: I am more nervous about Middle East at this point in time given the turmoil going on the Middle East. We have a lot of projects underway in the Middle East. We have a lot of orders going on in the Middle East right now, but I am a little bit nervous as the general business environment. If you look what’s going on in the Middle East, I am a little bit concerned about that both through Middle East and Africa. So, we have – we expect it to be positive second half of the year. I think when we get going, the other regions will be better and the Middle East will be not as good. That’s my general feel right now.
Julian Mitchell - Credit Suisse: Great, thanks.
David Farr: You’re welcome.
Operator: Thank you. Our next question comes from the line of Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn - Oppenheimer: Thanks. Good afternoon.
David Farr: Good afternoon.
Christopher Glynn - Oppenheimer: Dave, was just wondering with the pronounced orders surge of process if you had a sense, what sort of concentration of large projects drove that and what was – in what part maybe was it a general broad acceleration and pickup in activity?
David Farr: We’re seeing – we are seeing the pickup in orders coming out of our – what I call downstream business in our North America. We are seeing some of that. We are also seeing some very, very large projects happening around the world right now, that we have been working on for a while and we saw the last couple of months we have seen them book. But it’s a very broad group of orders right now it’s not focused one or two customer. It’s a very broad based and a lot of large projects coming around Asia, coming out of the United States and some downstream. So, from my standpoint, I look at that, that’s why I feel pretty good about the second half and going into 2015 in process, because they are building the backlog, they are building the order base to be able to deliver that. The question is will we see more confidence in what I’d call the OEM or the MRO type of business early on here. So, I like the mix of the large projects, medium projects in process right now. It’s a good mix.
Christopher Glynn - Oppenheimer: Okay. And then just looking at the 2016 Network Power target of 12% to 14% margin, what would it take to enter the bottom of the range in fiscal ‘15 in terms of how much is volume dependent versus realizing some of your self help?
David Farr: Right now, I would say most of the volume will be volume dependent, because we are investing right now in Network Power to get through some of the next generation technology, some innovation in the service area. So, if we could see continued good improvement in our orders in particular right now we are seeing a recovery in orders in Europe. We have seen recovery in Asia what we need to see is recovery in North America so we see very much stronger North America and you will see that profitability coming faster. North America is a key one to watch.
Christopher Glynn - Oppenheimer: Okay and then just lastly on the cooling side, you have weathered a mix down in that space to what extent do you think that’s run it’s course or remains dynamic to contend with?
David Farr: Our Network Power side or the Climate Technologies side?
Christopher Glynn - Oppenheimer: Network Power.
David Farr: I think from the standpoint of what we are seeing right now the mix and our faith that we have the complete offering I think we have weathered that and we are starting to see that trend upwards. I feel good about where we are right there now.
Christopher Glynn - Oppenheimer: Thank you.
David Farr: You’re welcome.
Operator: Thank you. Our next question comes from the line of Nigel Coe with Morgan Stanley. Please go ahead.
Nigel Coe - Morgan Stanley: Yes, thanks. Good morning guys. Sorry good afternoon guys.
David Farr: Good afternoon Nigel.
Nigel Coe - Morgan Stanley: I just want to pickup – I just want to pickup on the process orders and I think I know the answer, just want to clarify, so you are talking about are we – do you think that from here on we see larger orders hitting the backlog and sort of longer duration orders, so therefore we should expect to see a bit more volatility in the order pace going forward. And perhaps it’s a correlation between order growth and revenue growth gets a bit more extended?
David Farr: I think the answer to that is yes the projects are definitely as you know I have talked about are definitely much larger, they are more complex, we are booking them sooner and we are having to manage those over time. So I would say based on the type of the businesses and the type of projects we are doing they are much larger projects there will be a lot more volatility within that both from the sales standpoint and the profitability standpoint within a quarter of a year.
Nigel Coe - Morgan Stanley: Okay. Great. And again you talked about the some of these projects getting pushed out a little bit and what’s – is your sense that maybe there is some sensitivity on the macro volatility maybe Ukraine, etcetera, Middle East or do you think it’s just a bit more of a push towards capital efficiency from the majors?
David Farr: There is two things going on. One, my large customer base is being asked to slowdown some of their expenditures and redirect some of that money towards I would say shareholders both on a broad basis the big capital projects guys. They are not stopping the project they may just rather than a project taking 14 months it’s going to take 16 months. And so there will be – they are having pressure on them to spread their cash and to allocate more cash back to the shareholders and put the projects still at very high paybacks they are going to do them. And then from a standpoint of just projects because of some of the large complexity projects it just takes – sometimes it takes longer than anticipated and with the uncertainty and certain things around the world both the Middle East turmoil, like you said Eastern Europe turmoil some of the questions coming in say Australia they have said okay let’s slow this down a little bit and take a little longer. So you got two things going on right now working on our large customer base. The projects are going, they are just going to take their time and use that cash a little bit longer.
Nigel Coe - Morgan Stanley: Okay, that’s really helpful Dave. And then just one more on Artesyn we had $0.03 this quarter, I think a lot of that was restructuring, I think you have got about $70 million for the full year which would suggest another $35 million in the second half of the year, is that correct and is that more restructuring or was that more a run rate going forward?
David Farr: I think for the whole year, aren’t we doing – Frank we are doing $70 million - $80 million?
Frank Dellaquila: No, no you are looking at – he is looking at our reconciliation probably. Where are you seeing?
David Farr: From the restructuring.
Nigel Coe - Morgan Stanley: The 30 bps in the appendix, 30 bps margins?
Frank Dellaquila: Okay. So that if you look at the reconciliation at the back of the slide, the 34, 35 that we took this quarter should be all there is. We are not expecting any more for the year. It’s really 1.4 points and both the Artesyn and whatever rounding is in there is a result of us using ranges for those estimates all got jammed into that 30 bps. So the answer is, no there is no behind it.
Nigel Coe - Morgan Stanley: I see. Thank you very much.
David Farr: So if you look at the answer – what I will answer the question is if you look at internal restructuring which we do on an ongoing basis yes, we are talking first of all on $30 million, $35 million for that.
Frank Dellaquila: Absolutely I thought your question that was strictly on the Artesyn piece.
Nigel Coe - Morgan Stanley: Thanks for the answer for that.
Operator: Thank you. Our next question comes from the line of Shannon O’Callaghan with Nomura Securities. Please go ahead.
Shannon O’Callaghan - Nomura Securities: Good afternoon everyone.
David Farr: Good afternoon Shannon.
Shannon O’Callaghan - Nomura Securities: Hi, Dave. On the gross margins, up 140 basis points I mean you have the benefit there from the exit of embedded, but maybe break that out if you could and what other factors drove the gross margin improvement and then are there any headwinds coming in the second half to that?
David Farr: From the standpoint of our GP margin we there is – obviously Artesyn did help us. And as you know, we talk about 50 basis points at the EBIT line is probably about 50, 70 points, 90 basis points at the GP line. So the rest is just operational improvement and mix going on. So I expect our GP margin to be pretty good for the year. We actually forecast a pretty good GP margin for the year and then we are looking for underlying operating performance, mild underlying operating performance with investing more into the company. So that’s why you are seeing now as much spread improvement between GP and OP you normally would see, but we are investing internally right now.
Shannon O’Callaghan - Nomura Securities: Okay. And then you have mentioned a couple of times about executing against elevated backlog, I mean, is that unusually backed up because of some of these project delays or what’s sort of behind that comment, how soon do you think that will get released?
David Farr: The comments, one, it’s both for you guys, but also my own operating people are on the phone right now, they all listen to what I say. So, I mean, the key issue is our backlog is sitting at very high levels, with the orders the last say 45, 60 days we have been building backlog. So, the key issue for us is to execute as much as we can in that backlog. Clearly, some of this in the process world, the Network Power world and the industrial world is a little bit longer lead time, but anything that we can work on execution. Our operations are fine. It’s just a matter of what can we execute with our customer base, if we got how to get done and work that backlog back down. I don’t like carrying that much backlog.
Shannon O’Callaghan - Nomura Securities: Okay, thanks.
David Farr: You’re welcome.
Operator: Thank you. Our next question is from the line of Steven Winoker with Sanford Bernstein. Please go ahead.
Steven Winoker - Sanford Bernstein: Thanks and good afternoon gents.
David Farr: Good afternoon, Steve.
Steven Winoker - Sanford Bernstein: On the gross margin point, just following that up and given what I think this is the highest gross margin ever for this quarter, right?
David Farr: From my knowledge, yes.
Steven Winoker - Sanford Bernstein: What’s the price cost dynamic and can you give us a sense of the green versus red comfort level you have there as you are looking forward?
David Farr: Yes, right now, Steve, let’s go back, let’s step at February. We thought from a price cost standpoint that we have been pretty much neutral this year, maybe slightly plus or minus 0.1, just very much neutral. Right now, we are doing pretty well. What’s happened is our net material inflation as the economy has been weaker or actually our net material inflation has got more negative. And so right now, we are definitely green from a slightly positive green. So, we are probably going above the line. We expect that, that will hold for the rest of this year and then we will start going into it. If net material inflation continues to let’s say become more negative because of the weakness around the world and the excess capacity, then you will see us have more pricing pressures next year. But right now, we are in pretty good shape from a price cost standpoint finished this year and going into 2015. So, I like where we are right now.
Steven Winoker - Sanford Bernstein: It sounds like a sweet spot actually on that front?
David Farr: It is a sweet spot right now, but you get sweet spot for about three months and then you get whacked.
Steven Winoker - Sanford Bernstein: Okay. And on the acquisition point that you made, well actually acquisition and CapEx, on the acquisition point you made about your spending level, I mean, you are looking at an environment where it feels like some of the prices being paid are moving into frothy territory, particularly in some of your end markets. I mean, how are you – how is that impacting your placeholder for that?
David Farr: For this year, we got pretty close. We may not quite get to 125, but we are going to be pretty close. From my perspective right now, we are actively working trying to figure out how to build our pipeline of acquisitions. I’d like us to see us do more acquisitions given our strength of cash and our profitability state and our capabilities globally, but at the same time, we have to be very, very careful that we don’t obviously get too aggressive on the pricing and pay too higher price, but right now, my operations from the standpoint of places we want to go, I like where we are and I think we are ready to handle some more, but nothing say imminent, but I really turning up the heat internally both of our operations and corporate people to safely identify more, but you are right, the pricing is a key issue, you can’t get carried away.
Steven Winoker - Sanford Bernstein: And just lastly on CapEx, that $800 million number, how much of that is sort of growth CapEx versus maintenance versus maybe you can even think about productivity, I am not sure where you put that one?
David Farr: I would say the big increase this year for us is twofold, productivity. So if you look at the $100 million plus they were putting I would say a third of that is probably productivity increase as we are trying to drive our plans more efficiently and then the rest will be capacity. We are adding capacity around the world. And we have continued to expand. We did a lot of capacity offline in the last downturn and before the last downturn. And now, we are replacing that capacity in what I would call in more appropriate areas, in areas I want it. And it’s going to be much more efficient capacity. So we are adding capacity and getting geared up for the continued growth of our customer base around the world.
Steven Winoker - Sanford Bernstein: And is that in process this capacity or multiple places?
David Farr: It’s across the board, it’s both in process, it’s industrial, it’s also in sort of a residential solutions area, so it’s around the world. We are seeing this around our basis, all the companies.
Steven Winoker - Sanford Bernstein: Thanks.
David Farr: You’re welcome.
Operator: Thank you. Our next question comes from the line of Rich Kwas with Wells Fargo.
Rich Kwas - Wells Fargo: Hey, good afternoon everyone.
David Farr: Good afternoon, Rich.
Rich Kwas - Wells Fargo: Just, Dave, your comments on residential, what are you seeing – new construction was weak in the first quarter and most people expect that to come back, what are you seeing on the replacement side that would give you more cause for concern, because it seems like you are a little more cautious that some of this should come back due to its weather related, but just a little more color on there?
David Farr: I would say the underlying just the demand, the numbers coming out are very concern to me and the fact if you look at the – if you really start cutting down the employment numbers and looking where the jobs are being created and lack of employment and lack of hours, I am very, very nervous about what people spend. I mean, the residential recovery has been very, very short-lived, bam, like what, five quarters. And so I am a little bit nervous about the fact will people get concerned about their incomes, spending, their cost of living has gone up and so how much more money are they going to reallocate towards the houses. Will they move and then refurbish? That’s a key issue for us. Will they refurbish? Will they upgrade? And right now, I think people being very cautious relative to that. And my concern is we see it should be a little bit better in the second half, but it doesn’t, that will be a problem.
Rich Kwas - Wells Fargo: Okay.
David Farr: It’s not a good sign out there right now. Those job numbers last week were not good.
Rich Kwas - Wells Fargo: Okay. And then on Network Power, just with chloride in Europe, the orders are picking up here, how much of this is improvement in underlying demand versus just the comparables are favorable and they continue to be favorable? How confident are you in the European piece?
David Farr: We are seeing, we have got our act together from through the integration. So we have made a lot of changes both from an operational standpoint and a leadership standpoint. And so I am seeing better execution within the leadership and within the space that we had actually lost. And secondly, I am seeing some of our core markets actually do a little bit better where they have underinvested for quite some time, particularly UK, which we are very strong in the UK and they are starting to see some good improvement in the UK. So, from my perspective, I think we are seeing the momentum and the question is now can we keep that going as the European economy continues to progress. Our programs are continuing to kick in. I feel better about Europe as we go forward here.
Rich Kwas - Wells Fargo: Okay. And then just the last one for me on process, with the project activity picking up how should we think about incrementals, because that would seem to have a dampening impact on incrementals beyond this year?
David Farr: It will hold them down. It will hold it down. Our process is going to run high levels of profitability in any quarter. As I talked about earlier, you can get some good MRO type of business or small what I call brown type, brown expansions versus a greenfield. So right now, we are running at this on an average about 20% operating margins or EBIT margins within process. And I think we are going to stay around that level, but because the big projects will hold us back leveraging that a whole lot.
Rich Kwas - Wells Fargo: Okay. Right, thank you.
David Farr: You’re welcome.
Operator: Thank you. Our next question comes from the line of Jeremie Capron with CLSA. Please go ahead.
Jeremie Capron - CLSA: Thank you. Good afternoon.
David Farr: Good afternoon, Jeremie.
Jeremie Capron - CLSA: China, clearly 9% growth, third consecutive quarter of pretty good growth there and this despite weaker macro indicators, could you give us some color on what you are seeing in that country?
David Farr: In the market space we are serving right now, we are seeing pretty good continued investment. The process world, the industrial productivity world, some of the refrigeration stuff we are working on, some of the core spaces, a lot of investment going on again in their telecommunication infrastructure in China, right now. These are the markets we play in. We are not into the big infrastructure type of projects, which has slowed down. So we continue to see pretty good opportunity here. I would expect for us to see pretty good high single-digit growth this year throughout this year. I am actually watching it very, very closely relative to the business pace and both Ed and I are spending time there, because it’s an important marketplace for us, but we have now seen several good quarters and I expect to go forward. I do not expect to see an acceleration, and I do not see a deceleration at this point in time. I see pretty good high single-digit growth for us and all coming off a pretty good base.
Jeremie Capron - CLSA: Okay. So, when you look at your order intake in March and so far in April, are you seeing the same trend unfolding?
David Farr: Yes, in China, yes.
Jeremie Capron - CLSA: Great, thanks very much.
David Farr: You’re welcome. You take care.
Operator: Thank you. At this time, there are no further questions. I’d like to turn the conference back to management for any closing remarks.
David Farr - Chairman and Chief Executive Officer: Good. I want to thank everybody for joining us today. I appreciate your support and look forward to seeing many of you in the coming weeks and hopefully things will continue to prove around the world. And we want to have any more shocks to the world be it from Eastern Europe or be it from Middle East or wherever it’s going to come from. So, I wish you all well. Thank you very much. Bye.